Operator: Good day, and thank you for standing by. Welcome to the Canada Goose First Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Patrick Bourke. Thank you. Please go ahead.
Patrick Bourke: Thank you, and good morning, everyone. With me are Dani Reiss, President and CEO, and Jonathan Sinclair, EVP and CFO. After prepared remarks from Dani and Jonathan, we will take your questions. These will be limited to one each to allow as many as possible to ask questions within the allotted time. This call, including the Q&A portion includes forward-looking statements. Each forward-looking statement, including discussion of our fiscal ’22 outlook, is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Certain material factors and assumptions were considered and applied in making these forward-looking statements. Additional information regarding these forward-looking statements, factors and assumptions is available in our earnings press release issued this morning as well as in the Risk Factors section of our most recent annual report filed with the SEC and Canadian securities regulators. These documents are also available on the Investor Relations section of our website. The forward-looking statements made on this call speak only as of today and we undertake no obligation to update or revise any of these statements.  Our commentary today will include certain non-IFRS financial measures which are reconciled in the table at the end of our earnings press release issued this morning and available on our Investor Relations website. With that, I will turn the call over to Dani.
Dani Reiss: Thank you, Patrick, and good morning, everyone. I am pleased to speak with you all today about our strong start to fiscal 2022 and the continued momentum we’re seeing across the entire business. The results we delivered in Q1 demonstrate the global demand for our brand and our ability to operate in an improving yet still evolving retail environment.  Heading into this quarter, we were well positioned after finishing fiscal 2021 with record revenue in our third and fourth quarters. Our business has shifted from recovery to growth and that has continued into this quarter. Today, I’m going to cover our results and share highlights of how we are driving growth in key categories and across geographies. Looking at the quarter, our results were driven by strength across all channels and regions. Our global ecommerce revenue increased by more than 80% and low triple-digit growth in both APAC and EMEA. In North America, Canada led the way with a growth rate in the high 70s and in the U.S., where the majority of our stores were open for the quarter, we saw strong ecommerce growth in the high 40s. This highlights not only our successful investments in our digital business, but also the strength of our global demand. Next, revenue increased significantly in all geographic regions. This is important to highlight as many of our stores across Europe and Canada were impacted by closures during the period. This performance underscores the functionality of our model and reinforces our ability to capture and serve demand in any environment. Specifically, in Canada, where we faced elevated closures in the quarter, revenue still grew by 126%, excluding PPE. We consider this a very positive indication of domestic demand. As traffic continues to improve, we expect to see that drive increased productivity in our stores, which would be incremental channel growth to the performance we have shown this quarter.  Turning to our retail expansion, we’ve spoken previously about the opportunity we continue to see in mainland China and our strategic focus on growing our business there. We saw firsthand the opportunity ahead of us with our DTC revenue in mainland China increasing by 188% this quarter. Moving beyond Q1, we continue to build our business in mainland China, and over the past month, we have celebrated three new store openings in key markets in the region, with three more expected to follow this fall. As a growing global lifestyle brand, we continue to expand across geographies, launching new categories and products designed with intention, purpose and functionality. As the Canada Goose brand continues to gain momentum, we are actively innovating on many fronts and investing in newness and expanding our apparel offering globally.  Since our knitwear launch in 2017 and with the addition of our incredibly popular fleece category last year, our apparel business is expected to exceed $45 million in sales this fiscal. In only four years, we have successfully developed this fast-growing category into a meaningful business and we expect that trajectory to continue. Building on that, our non-parka business has shown strength overall and in this quarter specifically contributed roughly half of our DTC revenue.  As I’ve spoken about in our last call, we plan to launch Canada Goose footwear later this fall. Our intention is to define and develop this category in a way that no other brand can or has. I have great confidence in our team and in their ability to succeed in this category, just like we have with each of our previous category expansions, including lightweight down and apparel. We have a proven track record of successfully building new categories into meaningful businesses for our brand. As I have said before, I believe that we have an incredible opportunity in front of us in footwear, and I cannot wait to introduce you to our offering very soon. We’ve continued to innovate across our assortment and we’ve made a commitment to advance sustainability throughout our organization. As we laid out in our inaugural sustainable impact strategy report, we are transforming the way we do business to ensure that we’re doing everything we can to create the future that we want to see in the world. With that focus, this June, we announced that we would end use of all fur in our products through a phased approach. We will end the purchase of fur this year by December 2021 and will end manufacturing with fur no later than next year by December 2022. This decision was driven by our commitment to sustainability and our purpose-based platform human nature.  Our mission has always been to make products that deliver exceptional quality, protection from the elements, and perform the way our consumers need them to, and this transforms how we will continue to do just that. This path forward represents the culmination of both our long-term strategic planning and, importantly, the significant growth of our non-fur business. Currently, our non-fur business accounts for roughly half of our revenue. This has shifted significantly over the past few years. This has been intentional, planned, and driven by our expanding non-fur parka offering, lightweight down and spring categories, and as previously mentioned, our growing apparel business. This is a transformational change that has energized our business. I’m excited and I’m confident in this new direction and its ability to further accelerate our growth. In conclusion, this was another productive quarter where we found success by investing in the opportunities with the greatest impact for our business. This quarter also marked an important evolution for our brand to strengthen our commitment to a more sustainable future. And as we continue to move through the year, I’m really excited to share updates with you all on our footwear launch later this fall. And with that, I’ll turn it over to Jonathan to go over the details of our financial results.
Jonathan Sinclair: Good morning, everyone, and thank you for joining us today.  Canada Goose is off to a great start to fiscal 2022. Looking at our Q1 results and outlook, there are three key themes that stand out. Firstly, alongside reopenings and improving retail trends, our digital business has continued a rapid pace of growth. Secondly, the flexibility of our supply chain and DTC distribution are incredible assets for navigating a dynamic environment. Thirdly, looking beyond [Technical Difficulty], we have the building blocks for significant upside in our profitability. Starting with the top line. Total Q1 revenue came in at $56 million, helped by lower level of disruptions in both channels. At the channel level, DTC revenue was $29 million. We lapped the peak of first wave closures with a more operational but still impacted store base. Across our network, we lost approximately 20% of total trading days compared to 60% last year. This was complemented by outstanding digital growth against a meaningful comparative base. Global ecommerce revenue increased by 81% with a continuation of the broad-based growth we saw in Q4. Canada led the way in North America with a high 70s growth rate, along with 40s level in the United States where all stores were open throughout the quarter. EMEA and APAC both had low triple digit growth rates. In Europe, the U.K. was a particularly significant contributor as was mainland China in APAC. In wholesale, revenue was $26 million. Our growth was due to a near total shutdown of shipments last year at the peak of the first wave.  Our expectation of annual revenue in line with fiscal 2021 has not changed. We continue to concentrate more business with our best partners and doors as a strategic complement to DTC.  All regions made strong contributions to our growth. The sequential improvement we’re seeing in Canada is particularly encouraging. Excluding the impact of temporary PPE sales, revenue increased by 126%. This is despite losing 40% of the trading days at our nine Canadian stores. Since reopening, we are seeing some of our best store productivity levels globally in our home market.  Moving onto gross margin, DTC was 73% while wholesale was 35%. Both came in slightly lower than the levels we discussed on our last call. We continue to expect each to be in line with fiscal 2021 for the full year.  In wholesale, distributor mix was higher than initially expected, as was non-parka mix in DTC. These mix impacts are not significant on an annual basis and we expect them to be transitory. We achieved record non-parka participation in our own channel at roughly half of DTC revenue. This is a great milestone for the strategic evolution of our offering. Finishing with SG&A, the total expense line was $72 million, up 47% from last year. This reflects a much more operational business alongside growth investments. Intra-quarter, we decided to shift a portion of our planned spend to Q2. I will circle back to the impacts of that at the end of my remarks. That shift complements underlying cost efficiencies from permanent savings initiatives last year.  Looking ahead to fall-winter, we are confident in our ability to make the most of peak demand. The pandemic is not over. Disruptions and risks remain, including new variants. That said, our operational backdrop has greatly improved. All of our stores are now open, as are our eight Canadian manufacturing facilities. Our factories are running efficiently at much more normalized levels of production relative to last year. While distancing regulations remain, we are utilizing extra shifts to lessen the impact. Due to our unique model, we don’t have significant exposure to the production shutdowns and shipping delays the sector is currently facing.  The vast majority of our revenue base is made in Canada. With a continuative offering, we confidently stage raw materials and finished goods. Our shipping routes are also different. We generally start outbound from Canada to our global network of distribution centers. We are highly confident in our ability to get product into the marketplace while retaining in-season flexibility.  Our gross margin tailwinds also make this type of environment much more manageable from a profitability perspective. Our experience in fiscal 2021 is a great proof point. Despite losing three months of production to mandatory closures and retooling our infrastructure to make PPE, we were not constrained by supply and we preserved very strong gross margins. The other uncertainty our sector is grappling with is the pace of retail recovery relative to last year’s outsized ecommerce gains. As a brand which started in DTC online and has a selective retail footprint, we are truly agnostic. We want to drive DTC mix higher wherever the consumer wants to shop, and in today’s environment where the consumer is able to shop. We have the global reach and critical mass to capture demand online and drive outsized growth. We also know that our stores are productive and sought after by consumers, even in a highly disrupted environment.  Retail recovery is also foundational to our long-term margin upside. This year, we’ve already lost a significant amount of trading to closures and luxury retail traffic is still far from pre-pandemic levels globally. Across geographies, there is a wide spectrum of case levels, movement restrictions, and reopening trends.  As we look beyond these dynamics, we have the potential for an extra gear. The normalization of retail will really accelerate the uplift from driving DTC mix higher. In an environment where all stores are continuously open with full traffic, there is no reason why our adjusted EBIT margin shouldn’t start with a two and have an advancing multi-year trend. Lastly, I will finish with some commentary around current trends in Q2. Starting with the top line, we are assuming a low double-digit growth rate in wholesale driven by earlier shipment timing. In DTC, we currently expect revenue at roughly 1.5 times last year’s level. In the other segment, which generated $30 million last year due to temporary PPE manufacturing, we do not expect any meaningful revenue. We expect DTC gross margin in the mid-70s and wholesale gross margin in the mid-40s, in line with historical annual levels.  On the expense line, we’re currently planning for total SG&A of over $100 million and D&A a touch over $20 million. This reflects the flow through of delayed spend I mentioned earlier.  In summary, we continue to navigate through a challenging environment, but we remain confident in our resilient and growing business. We are encouraged by the improving retail trends and rapid global ecommerce growth. Pairing this with our agile supply chain and distribution puts us in a great position to navigate today’s unknowns. We remain in a dynamic world, but we are very optimistic that our momentum will continue into the peak season and drive sustained long-term growth.  With that, I will pass over to the Operator to begin Q&A.
Operator: [Operator instructions] And your first question comes from the line of Oliver Chen with Cowen.
Oliver Chen: Hi, thank you very much. Good morning, Dani and Jonathan. In light of your recent fur announcement, how will being non-fur impact your business, and what gives you confidence that you’ll be able to grow at the same trajectory? It sounds like you’ve been really proactive about this decision and strategy.  And as a follow-up, what do you think about faux fur or fur substitutes as you look to innovate and investigate different opportunities? Thank you.
Dani Reiss: Thanks, Oliver. Thanks for your question. Good to hear from you.  We are very confident that we will make this transition and that we will continue to be a high-growth company at the same time. This is not a sudden decision for us. This is something that we have been considering and planning around for years. Our non-fur product offering has been growing at an outsized pace and makes up roughly half the revenue base today, and that’s a trajectory that has been and will continue - will be continuing. This includes non-fur parka styles, alternative hood trims, new product categories, fur-free assortment that we make for our wholesale partners, all of which have been extremely [Technical Difficulty] again, we expect them to continue to be successful. So we are at a stage now where we feel we can continue to offer the best in protection without using fur, and this decision has truly energized the company and I believe offers us a huge amount of increased opportunity in the future. With regards to your question on faux fur, we absolutely will not be using faux fur. We do not believe that it is a sustainable alternative for the environment, and we’ll be using other things than that.
Oliver Chen: Okay. Dani, the consumer side, I was just curious about the consumer research and what customers think, and how you’ve been customer-centric in thinking about this decision. Thanks a lot. Best regards.
Dani Reiss: Yes, we focus on innovation and we focus on providing consumers with the right products that they need for their right environments in which they live. And as we’ve been intentionally developing more non-fur products over time and they’ve been successful, we’ll lean into that in a more heavy way. 
Oliver Chen: Thanks a lot. Perfect.
Operator: Your next question comes from the line of Jonathan Komp with Baird.
Jonathan Komp: Yes, hi. Thank you. Just a follow-up on the first question, but thinking about the gross margin impact. Could you maybe talk about any sort of gross margin uplift that you’d expect from not using fur going forward? And then separately for gross margin, any other puts and takes when you think about the balance of the year, pricing and costs or for other impacts outside of the product mix factors that you called out for the first quarter?
Jonathan Sinclair: Hi. So I think when it comes to fur, we are -- we’re continuously investing in upgrades to the performance and the quality and the sustainability of our jackets, and it’s very much more part of a broader evolution of our offering. So as a result, we’re not really expecting this to change margins at a channel level, and particularly given the broader suite of investments that we’re making in our products. I think, as a more general point on gross margins, our algorithm is very much intact. We’re not expecting our gross margins fundamentally to move at a channel level over time. And therefore, we typically talk about mid-70s for DTC, mid to high 40s for wholesale on an annual basis. We don’t see that changing. We don’t see any other puts and takes really moving that this year.
Jonathan Komp: Okay. Thank you.
Operator: Your next question comes from the line of Omar Saad of Evercore ISI. 
Omar Saad: Good morning. Thanks for taking my question. Jonathan, I wanted you to dive in a little bit deeper on the guidance, if you could. It seems like it really implies a shift to the 2H versus pre-COVID levels. Is there specific reasons why you guys are signaling such a significant shift into the back half versus pre-COVID? Has something changed with the consumer behavior or the wholesale customer behavior or the category? That would be a helpful context. Thanks, guys.
Jonathan Sinclair: No problem at all. I think at a corporate level, it comes down to two main changes, of course: channel mix on the one hand and buying behavior on the other. It’s clear that we are much more DTC-centric today. We expect the channel to approach 70% of our revenue this year, and I think that naturally puts a lot more revenue into Q3 and Q4 when consumer buying is at its peak. Last year, 89% of our annual DTC revenues were in the second half of the year. Now in parallel to that, as you know, we’ve also resized and refocused our wholesale business, and that’s much more weighted to Q2. 
Operator: And your next question comes from the line of Michael Binetti of Credit Suisse.
Michael Binetti: Hey, I’d like to -- thanks for taking our question here. I’d like to ask about that a little bit as well. But maybe, Jonathan, any color on how you thought about conservatism you baked in, in 2Q on a direct-to-consumer basis related to the shifts you just mentioned? And then as we look at some of the math that you laid out, the second quarter looks like it assumes wholesale about 40% below September ’19 levels and direct-to-consumer about 7% below 2019 levels. I guess that implies a pretty meaningful decline. I’m just curious, considering - especially on the wholesale side, considering 40% lower in a category where you guys have pretty consistent price increases, it does imply some significant unit declines in that channel.  Maybe you could sort out for us what you think is idiosyncratic in that spread versus the industry or anything going on in the channel other than your own strategic decisions? I’m just trying to understand a little bit better why the core would be down that much, given that you still see DTC down 7% versus 2019. I’m trying to understand how you - maybe how you thought about the unit recapture in DTC given the work you’ve done in wholesale.
Jonathan Sinclair: Yes. I think the - so let’s take wholesale first and then we’ll talk about DTC. I think wholesale, we’ve been very clear that we went through something of a reset last year and we do not expect it to be materially different to last year’s level this year. So as you compare back to fiscal 2020 and what happened there, you’ve got to think, first of all, the shipping patterns might have been somewhat different on the one hand, and the absolute size of the wholesale business was materially higher at the same time. Secondly, as you switch out of wholesale into DTC, of course, we do expect that recapture. But the key is you don’t recapture it at the same time, because typically with wholesale, obviously, we’re pipelining in Q2 and getting into the stores and the stores are starting to sell it, whereas with DTC primarily, we expect to recognize that revenue in Q3 and Q4. Turning to DTC, we believe that it’s - our comments are appropriately measured and directional given where we are today. Most of the quarter is ahead of us in September and we remain in a dynamic environment with new variants. As we sit here today, we are really pleased with the performance. We’re looking forward to a great fall-winter, and if you look at the full year and what’s implied for the size of the DTC business, you’ll see it’s well ahead of both last year and the year before.
Dani Reiss: I agree with that, Jonathan. Well said. Just to re-emphasize, this is a--you know, the dynamics in the mix and shifts, all sorts of things are changing in an annual period. Year-over-year, our business is on a strong growth trajectory and we feel very confident about that in the future for a whole variety of reasons. 
Operator: Your next question comes from the line of Ike Boruchow with Wells Fargo.
Ike Boruchow: Hey, good morning everyone. I guess two quick ones. Jonathan, I think on the last call you had mentioned wholesale potentially being flat year over year for the year, but yet it’s a nice performance in Q1. Just curious is there’s a little bit of an update there. Then I guess just bigger picture, Dani or Jonathan, since COVID hit your ecommerce revenue has been fantastic and robust. Can you talk about an expectation of once we normalize, where you see your store productivity landing? I assume you don’t believe that you’re going to have similar productivity in your retail stores on the other side of this, just because of how much digital revenue you’re now doing, but is there a way to think about that or a way you guys are thinking about that internally? Thanks.
Jonathan Sinclair: Let’s take the wholesale question first. As I think we’ve mentioned in the documents, wholesale is about when our wholesale customers want to take the inventory, so the performance in the first quarter is neutral to our expectations for the year; in other words, we are simply shipping it when the wholesale client wants it, which is a bit sooner than we thought.
Dani Reiss: Yes, I think to add to that, I think that--you know, this term you used, once we normalize, that’s obviously the--that’s the punch line, and once we normalize and ecommerce is as fully operational as it is today and our stores are also fully operational with normalized traffic, I think that that’s an environment that’s accretive to where we are right now without any question, but it’s impossible for anyone to speculate when that will be.
Operator: Your next question comes from the line of Megan Annette of TD Securities.
Megan Annette: Thank you, good morning. Jonathan, just wanted to clarify your comments around the adjusted EBIT margin starting with a two. What’s the time frame you’re referencing there, and how dependent is that on the retail environment improving? If you could just give a little bit more detail, please.
Jonathan Sinclair: Yes, thanks Megan. I do think that it’s hard to be at a point where you can call the timing of it with any integrity, just because obviously there’s an important dependency in there on how retail traffic resumes and how retail productivity grows. We’re clearly very much in a dynamic and disrupted environment, but we are confident that the world is going to get past this, to a point where retail is fully operational with normal traffic. The timing of it is just hard.  As I look today at what we’re achieving and delivering, we’re really pleased with the progress we’re making and we’re really excited about the additional upside that the full recovery offers. I think when we get back to that full traffic and the stores being open all of the time, there’s no doubt in my mind that that starts with a two and with a strong growth path behind it, it’s just a question of timing as to when that resumes.
Operator: Your next question comes from the line of Sam Poser of Williams Trading.
Sam Poser: Thank you for taking my questions. I just was wondering, can you--when we look at fiscal ’19, is this all a timing issue or--sorry, fiscal ’20, is this all a timing issue of sell-in versus sell-through that makes it more back-end loaded than in the past? I’m just trying to get a complete handle on this, and if you could give us some more color on exactly--I mean, I’m coming up around 66% gross margin for the year, is that more or less what you’re thinking about?
Jonathan Sinclair: I think that as we look back to fiscal ’20, we had a way, way lower DTC participation in this business. If you look at what we’ve said, we’re close on 70% for the year in our expectations for DTC participation this year. That fundamentally changes the revenue pattern of the business because, first of all, wholesale isn’t the same the size that it was, and secondly the DTC business got a lot bigger, but as I said earlier, with a huge skew to the second half of the year. That’s really what’s going on there. I think if you take those proportions and you take what I said about gross margin at the channel level, I think you do wash up to something in the zip code that you’re talking about.
Operator: Your next question comes from the line of Jay Sole with UBS.
Jay Sole: Great, thank you so much. I have a three-part question.  First Dani, can you talk a little bit about the launch strategy for footwear that you have coming up here in the next few months, maybe around when we’ll see that, and also can you give us a little bit more detail around the timing of when some of the stores in China will open? Then lastly, is there a plan to leverage the Winter Olympic Games that are coming in February for the brand in a way that will increase visibility? Thank you. 
Dani Reiss: Yes, thanks for your question. For launch strategy, footwear is one of the most exciting things happening this year. I’m very excited about it. I know that one of our core competencies now is developing new categories, and we’ve put a lot of time and energy into this footwear strategy. We’re taking it very seriously and we’re very excited about launching it. It’s going to launch in the fall, and I do look forward to sharing more information about that with you when we get closer to that time, perhaps this time next quarter. With regard to China store openings, we’ve opened three so far and we plan to open an additional three stores before fall. As far as the Olympic Games and the question around that, we’re not an official participant in the Olympic Games. We certainly work with various influencers as part of our overall marketing strategy, which has worked for us for the last 20 years.
Operator: Your next question comes from the line of Adrienne Yih with Barclays.
Adrienne Yih: Good morning, thank you for taking my question. Dani, I was wondering if you can talk about your normalized annual price increases in a world that it sounds like in 2022 others, perhaps those more normal pricing non-luxury, also taking prices up. What we have seen in the past few years is at luxury, they’ve continued to take those prices up, so just wondering if there’s--you need more relative to mainline pricing. That’s number one. Then Jonathan, just a housekeeping, if you can quantify the SG&A shift, and then more on the product efficiency coming from the eight manufacturing facilities, what exactly are you seeing? Is it capacity utilization, labor efficiencies? What does [indiscernible] like for like look like? Thank you very much.
Jonathan Sinclair: Okay, so taking pricing first, we’ve always said we take price in the mid-single digits - that’s something that we’ve done throughout the pandemic, meaning both fiscal ’21 and fiscal ’22. It’s an embedded part of what we do and how we do it and the way that we manage our gross margin, and this year has been no different in that.  I think when it comes to SG&A, I think the--you know, if you take what we spent in the first quarter and what we’re talking about for the second quarter, you’ll have a pretty good feel for the rate of growth, and that’s very much aligned with what we gave as assumptions, so against [indiscernible] when I spoke last time. In terms of product, we’re seeing the right evolution of AUC; in other words, we’re expecting our margin algorithm to stay very much on track, and therefore that we are not seeing that AUCs are rising either faster or slower than AURs. We’re seeing a very consistent pattern, and that is a reflection of efficiencies in some product categories and reinvestment in others in the way that we manage gross margin.
Operator: Your next question comes from the line of Camilo Lyon of BTIG.
Camilo Lyon: Thanks, good morning. Jonathan, I was hoping you could give us some color on the different levels of store productivity that’s embedded in your guidance as it pertains to China and maybe some other markets that are starting to open up a little bit, what you’re seeing from that traffic and productivity perspective and how that differs from what is embedded in the guidance.
Jonathan Sinclair: We’re seeing good levels of productivity. I would say particularly we’ve been very pleased with what we’ve seen happening in Canada since reopening. America’s been quite solid throughout. We’ve been very pleased with what we’ve been seeing in China as well. I think Hong Kong is its own animal still, and Europe is gradually reopening - you know, it came from a very different place frankly, and we saw the U.K. reopen in mid-April and then the rest of Europe in fits and starts thereafter.  What we’re looking for going forward is a gradual and progressive improvement in those levels of productivity, and that’s what we’re seeing.
Operator: Your next question comes from the line of Brooke Roach of Goldman Sachs.
Brooke Roach: Hi, thank you and good morning. Thanks for taking the question. I was wondering if you could provide an update on some of the investments that you’re making this year into both the brand and additional consumer experience, and perhaps what about those investments are fueling some of your optimism and confidence on continuing the ecommerce momentum and penetration amongst those new and existing customers. Thank you.
Dani Reiss: Yes, thank you for your question. We are continuing to prioritize our investments in our omnichannel and our digital consumer experience. These are areas which are very important to us. It’s also clear that this world is one which is approaching a state where there’s really very little differentiation between physical retail and ecommerce retail, it’s just a matter of where the consumer wants to shop and when they want to shop and how they want to shop. We want to be able to provide them an experience that allows them to do that on their own schedule and to give them the experience that they want to have, tailored specifically to them. It’s with that in mind that we have a short term and longer-term road map to continue to invest a significant amount in the investment class, that being omnichannel--providing an omnichannel experience for our consumers.
Operator: Your final question comes from the line of Robby Ohmes with BofA Securities. 
Robby Ohmes: Hey guys, thanks for taking my question. My question in on APAC, which was actually up versus 2019 in the first quarter. You guys mentioned that China was a significant contributor. Does that imply that rest of APAC is still down versus 2019, and could you also tell us how to think about the Asia revenue pattern for 2Q versus the back half of this year - is it similar to how you’re talking about overall DTC? Any color on that would be great, thanks.
Jonathan Sinclair: We’re right at the beginning of our APAC journey. We’re only two years, three by Christmas, into our China experience, and we’ve seen great performances from our stores in mainland China and we’re continuing to see that growth, both organically and through new stores. We’re very pleased with how that’s going, and you rightly observe that that’s going well. Of course, Hong Kong is, as I said just now, it’s own animal, it’s dependent on borders opening and a bunch of other factors.  I think when it comes to the rest of Asia, you’ve got to remember that that’s essentially a wholesale business and so that has very different dynamics as both Japan and Korea, South Korea are managed as distribution markets. 
Dani Reiss: Yes, all good points, and I agree. I’ll add to that that I think, first and foremost, we view APAC as an extraordinary growth opportunity for this brand in a number of ways, and there’s a lot of runway for us there. The pandemic has affected every market in different ways, for example Japan, which is an established market, it was affected last year and we expect it to rebound this year in a better way. But overall, APAC is strong and healthy and growing at a very healthy rate, and we are prepared regardless of what’s ahead. We’re set up to capture and serve demand in any environment [indiscernible] in any part of the world.
Operator: I’ll turn the call back over to management for closing remarks.
Dani Reiss: Thank you all for joining us today. I have never been, as I said, as excited as I am today about our business. Our ability to strategically expand across categories has been proven and has been met with excitement and strong demand across all markets. As much as COVID-19 has transformed the world, this has been a transformational year for our business as well and we look forward tremendously to what’s to come. Thank you very much, and have a great day.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.